Operator: Greetings, and welcome to the TPG RE Finance Trust, First Quarter 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions]. As a reminder, this conference is being recorded.It is now my pleasure to introduce your host, Ms. Deborah Ginsberg, Vice President, Secretary and General Counsel. Thank you. You may begin.
Deborah Ginsberg: Good morning, and welcome to TPG Real Estate Finance Trust, First Quarter 2020 Conference Call. I'm joined remotely today by Greta Guggenheim, Chief Executive Officer; and Bob Foley, Chief Financial & Risk Officer. Greta and Bob will share some comments about the quarter, and then we'll open up the call for questions.Last night we filed our Form 10-Q and issued a press release with a presentation of our operating results, all of which are available on our website in the Investor Relations section.I'd like to remind everyone that today's call may include forward-looking statements, which are uncertain and outside of the company's control. Actual results may differ materially. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our most recent 10-K, as well as our Form 10-Q.We do not undertake any duty to update these statements, and we will also refer to certain non-GAAP measures on this call, and for reconciliations you should refer to the press release and our 10-Q.With that, I’ll turn the call over to Greta.
Greta Guggenheim: Thank you, Deborah. Good morning, everyone. I wish good health to all of you and your family and want to express our tremendous gratitude to the public and private sector workers who are risking so much to protect all of us.Let me start with the obvious, this was a tough quarter. We recorded losses of $203.5 million from the sale of our CRE CLO portfolio. There is no way to sugarcoat this. Faced with the extraordinary disruption to the markets and no timetable for recovery, we made the decision to eliminate additional securities margin call risk, all of it by selling our entire bond portfolio.This was not an easy decision, but one that was necessary given the rapid series of events that unfolded in the stunningly short period of time; the worst global health crisis in 100 years, the most severe economic shock to the world economy since the Great Depression and the most volatile market conditions of my career that dramatically affected all publicly traded securities values, including our highly rated short duration, LIBOR base CLO securities.These historically liquid securities suddenly became significantly illiquid, requiring an unpredictable and significant diversion of capital. As a result, we sold the portfolio as we felt it was important to eliminate future securities margin call risk and raised cash to protective the value of our 5.1 billion in UPB First Mortgage portfolio.Our portfolio today is comprised primarily of office and multi-family loans, 49% and 24% respectively. Hotel and retail loans represent 13% and 0.6% respectively. We remain focused on the top 10 markets, as well as other high employment growth major markets, clearly employment growth is now on pause.68% of our portfolio is secured by bridge and light transitional assets. We have one construction loan with future funding obligations of $15 million. 50% of our loan portfolio is financed with non-marked-to-market debt.In April 99.5% of our loan portfolio paid interest to us. The one loan that is late is senior to an institutionally owned mezzanine loan that is 120% of our senior loan. The basis, a sub-50% LTV of our loan is very attractive and we are not concerned with the collectability of principal and interest on this loan. Also, all of our hotel loans paid full debt service in April.As you know, interest is paid in arrears and April payments reflect March performance. While the economic lockdown continues, it would be naive to not expect tenet and therefore borrower performance to become under increasing levels of stress.In Q1, before the market abruptly changed, we originated $437 million of loans, comprised 90% of multi-family assets and 10% office assets. Consistent with the portfolio as a whole, these are light to moderate transitional assets with an in-place debt yield a 5.6%, 90% were acquisition loans.At this time market conditions are too uncertain to originate new loans. We are focusing all of our efforts on protecting the value of our portfolio. In the current environment, this entails providing modifications to borrowers that need some payment timing relief during our country's lockdown period.Hotel and retail properties have been the most affected by COVID and we've been working with borrowers representing 13% of our portfolio to complete loan modifications. Most all of the borrowers are agreeing to infuse significant new equity to support their properties.As we reported in the Form 10-Q, a borrower has very recently approached us to negotiate terms under which we would accept a deed in lieu. The borrower’s equity is from a very substantial global investment manager and there are certain significant guaranteed financial obligations relating to completion and carry that must be paid in connection with the deed in lieu.Our discussions are at a very early stage and we are currently assessing the financial impact, if any to us of this development. While we were not expecting this to occur given the quality of the asset, location, sponsor, the substantial equity invested in the asset by the sponsor and the sponsor's recent infusion of capital into the borrower, we are prepared to take whatever action is necessary to secure the assets value.Based on changes to individual loan writings, our overall portfolio risk rating increased to 3.1. The increase primarily results from moving all operating hotels that were pre-COVID rated two or three to a four rating. We also moved one asset from a four to a five based on our belief the borrower may default in the very near future as the property is operating significantly below what we underwrote.We have great confidence in our country's ability to fight through the tremendous challenges we face, but we also realize that the economic strain experienced by tenants and landlords will not just disappear. We will have to continue to work with our borrowers. Regarding our financing counterparties, we have no margin calls and are in active discussions with our lenders to implement re-margening holidays.Our lenders have worked cooperatively with us on all fronts. As an example, in the first week of this month we had one $500 million expiring facility that was renewed for one year with numerous extension options. Each of our lenders has been very responsive and supportive in approving loan modifications for higher stress assets such as hotels.I would like to acknowledge and thank the TPG RE [ph] team which has performed 24/7 with extraordinary dedication during these times. Also the strength of the TPG platform and its senior level banking relationships have contributed significantly to our partnership with our lenders.And finally, and of utmost importance has been the wise guidance of our Board of Directors who have helped us weather this unprecedentedly difficult period. I thank each of you for your dedication and tremendous commitment of time.As we previously reported in the press, we have retained Houlihan Lokey to help us source new capital, to both weather the current economic environment and allow us to go on the offense once markets begin to stabilize. Finally, we believe that the long term value of our portfolio is very strong and that the current disruptions to cash flow will begin to dissipate as the lockdowns are eased.And with that, I will now turn the call over to Bob Foley.
Bob Foley: Thank you, Greta, and good morning everyone. For the first quarter we generated a GAAP-net loss of $232.8 million or $3.05 per diluted share and core earnings of $168.3 million or $2.20 per diluted share. Net interest income from our transitional lending business was $40.8 million and that's up 5.9% from the prior quarter.Our first quarter results were driven by the losses sustained in connection with the previously announced divestiture of our CRE debt securities portfolio. From March 23 through March 31 we sold $179.3 million of bonds, generating a loss of $36.2 million.At quarter end we recorded an impairment charge of $167.3 million against the $767.3 million face value of bonds we owned on that date. In sales executed over the next three weeks, we sold the entirety of our portfolio for a loss equal to the impairment charge recorded at March 31, offset by a very slight gain on the single bond.The reduction in book value resulting from these sales was $2.65 per share. Market volatility was extreme, liquidity was scarce and margin calls were frequent and material. Management and our Board of Directors opted to stop out our loss via this complete exit from our securities portfolio. All securities related financings were extinguished upon the last of our bond sales and currently our investment portfolio consists entirely of floating rate mortgage loans.With regards to CECL we recorded expense for CECL of $63.3 million, which is equal to the difference between the initial general reserves of $19.6 million established on January 1 and the total general reserve of $83 million recorded at March 31.Quarterly CECL expense is a non-cash expense and as an add back from GAAP net income to core earnings, which is consistent with existing new accounting practice and the terms of our management agreement with our external manager. Our CECL general reserve equals approximately 144 basis points or total commitments of $5.8 billion. When we established our initial reserve on January 1, the comparable rate was 35 basis points.The quadrupling of our reserve rate is due almost entirely to the impact of COVID-19 pandemic, which caused us to apply a sharply recessionary macroeconomic forecast against our loan portfolio data and historical loan data to estimate expected life-of-loan losses. The cumulative impact of CECL for the first quarter was to reduce book value per share by $1.08.A few additional comments about CECL. We’ve licensed from TREP [ph] a large database of performance default and loss data for first mortgage loans, stretching back to 1998 to provide a stable, broad, data-foundation to drive our estimate. We use actual loan and collateral level performance data, TREP data, a selected macroeconomic forecast and the loss given default TREP model to develop our general allowance for credit losses.We do expect our CECL estimate will change over time based upon a variety of factors, including actual performance of our first mortgage loans and the underlying properties securing them, macroeconomic conditions, capital market conditions and the pace of loan repayments and originations.It's challenging for any market participant to extract solid observable valuation inputs from the current commercial real estate markets. Since transaction volume is light and the markets remain illiquid, although illiquidity has improved a bit over the past month.We do expect actual results and our CECL estimates and future forecasts to be highly dependent on the length and the severity of the COVID-19 induced recession, and we do not believe the CECL allowance currently reflects the likely credit performance of our loan portfolio over the long term due to the extreme near term impact of COVID-19 macro-economic assumptions.Turning briefly to loans and credit, our portfolio wide pre-COVID weighted average assets LTV is 65.7%, which is consistent with prior quarters and reflects our longstanding emphasis on prudent advance rates against quality properties in major markets. Based on our loan amounts and third party appraised values, our borrowers have at risk approximate $2.9 billion of equity capital subordinate to our loans, providing meaningful downside protection to us and motivation for them to protect their investments.We do expect repayments to be restrained for several quarters due to COVID and we expect early stage repayments most likely to occur in the multi-family sector, due primarily to support in that market from the GSEs.Regarding capitalization, 50% of our loan related financing is non-market to market, non-recourse term liabilities including $1.8 billion from our two CLOs plus private term financing and the syndication of the senior loan. Those CLO liabilities are extremely valuable. The coupon is constant and roughly the LIBOR plus 144 basis points until amortization begins after each reinvestment period ends and the LIBOR floors for both transactions are zero.During the first quarter we utilize the reinvestment features of CLOs four times, to finance 10 loans or participation interests therein and generate $92.4 million of cash to us. Our remaining funding is provided by eight different bank lenders, under committee term credit facilities, all but one of which limit margin calls to credit marks for other than temporary declines in collateral value.As Greta referenced in early May, we extended for another year our $500 million credit facility with Morgan Stanley. We expect to expand to other credit facilities later this year than in combination represent almost 14% of our borrowings at March 31 under our secured credit facilities. The bulk of our remaining secured credit facilities mature in 2022, and as a result of the divestiture of our entire securities portfolio, we no longer have any outstanding liabilities associated with securities.At quarter end our debt to equity ratio was 3.6:1, temporarily elevated due to the impairment charge recorded at March 31, prior to bond sales in early April totaling $571.7 million of face amount that we paid more than $429 million of net borrowings. Currently our debt to equity ratio is approximately 3.2:1 only slightly above our typical operating level of 3.1 or less.Liquidity at quarter end was $168.8 million, comprised primarily of cash of $103.6 million and $60 million of near term availability under our credit facilities. As of last Friday we held approximately $180.6 million of cash-on-hand and approximately $62 million of near term borrowing capacity.Regarding rates, all of our loans are floating rate and all have LIBOR floors. At quarter end our weighted average LIBOR flow was LIBOR plus 1.66% and 94.8 of our loans measured by UPB had embedded floors that were in the money in comparison to month end and one month LIBOR, which at that time was 99 basis points.As of last Friday, when one month LIBOR was 20 basis points, all of our interest rate floors are now or will be on the next interest determination date in the money. These floors when combined with our liabilities, which are largely un-floored hopefully boost net interest margin.Finally, a personal observation. I've been in this business for more than three decades. I experienced the S&L crisis, 1987’s Black Monday and its aftermath, the RTC, the Thai Baht [ph], the Russian Ruble, the Dot Com and the Global Financial Crisis. Every crisis was different, but each taught me and my colleagues lessons that we can and will apply in the face of the challenge of COVID-19 and its aftermath.And with that, Greta and I are prepared to take your questions. Thanks very much. Operator.
Operator: Thank you, sir [Operator Instructions]. Stephen Laws with Raymond James. Please go ahead your line is open.
Stephen Laws: Yes hi, good morning. Thanks for taking my questions. I appreciate the disclosure and color. Greta, if I could ask you about a couple of loans I guess first. Could you maybe provide a little bit more color on the five rated loan. I think its number 19, the multi-family in Houston if I have the numbers matched up correctly, but if you can give us any color on that asset and discussions and any property details about that?
Greta Guggenheim: Sure. I believe we referenced it before, because it has been a 4 rated loan for quite some time. This is the one that – it is a Class A multi-family property. It was completely redone and redeveloped office building in Houston. One, a very nice property; however, rent concessions have not gone away in that market. There had been tremendous amount of new supply that continued for quite a while, and so this probably hasn't been able to reduce concessions and rent growth has not been very significant as well.There's about 20,000 – excuse me, 29,000 square feet of retail space that never leased on the ground floor as well. So the bottom line is the property has underperformed and given the extra stress on the oil industry caused by COVID, we don't see that improving in the near term, and we believe that it is appropriate to rate this a 5.
Stephen Laws: Great! Thanks for that color. Then switching to the deed in lieu, I think – is that number 21, the Brooklyn office you know, and if so – and just correct me if I’m wrong please, but with the deed in lieu process I know you spent some time talking about it, but how do we take a resolution from a timing standpoint. Is this something that takes place in a matter of months or is it the balance of the year, would have to be discussed. Can you give us an update on you know timing and options and the resolutions for this.
Greta Guggenheim: We're very early stage on this. This just occurred, you know a matter of two weeks ago and we're determining the best strategy now. But what we do know is that there are significant financial obligations, many of which are guaranteed. The sponsor must comply with in order to tender the property to us, and we're evaluating those now. This is a property in Brooklyn as you mentioned. It's very well located and it's got a very, very substantial sponsor with very substantial equity in it. We are trying to – you know its early stages, so I can't really comment too much on it, but we're doing – we're very much diligent in what we think the best approach will be.
Stephen Laws: Great, and then on the ongoing concern that was in the 10-Q, can we talk to that as party of the analysis that went into the $432 million of funding due in a year. I know included in the press release you talked about renewing the Morgan Stanley facility and then that was mentioned in the prepared remarks and I think Goldman is in August. But can you give us any color about that, and what steps need to be taken to have that removed.
Greta Guggenheim: I'm going to ask Bob to address that question.
Bob Foley: Sure Greta, I would be glad to. Good morning Steven, how you?
Stephen Laws: Good morning, Bob. Good.
Bob Foley: With respect to the going concern disclosures, and going concern generally, this is a standard analysis that these for us are strong. It does or should be in each quarter, and at year end I think in our instance, well, in everyone's instance the key focus of the analysis is on inbound and outbound cash flows and debt maturities. In our instance Greta and I both mentioned earlier the reduction in liquidity that resulted from the liquidation of our bond portfolio.We project as I mentioned earlier sharply reduced loan repayments for the next several quarters and for us and other lenders, loan payments are a typical and material source of cash for retirement system debt and fueling new investment business. So I would say that those were the two principal factors in our analysis.We do have two notable credit facilities maturing later this year. As I said, about 14% of our secured credit facility borrowings; one is with Goldman Sachs. It was our first number back in the early stages of the company and we have successful extended our facility with them before. The other is with BAML where we have only one loan pledged and as we mentioned and we discussed earlier, we just extended last week Morgan Stanley, which has been another longtime member of ours. So management is comfortable and confident with our plans and that's the answer.
Stephen Laws: Great! Thanks for the color Bob, and last question Bob, kind of thinking about the portfolio you know turns and potential dividend obligations, I appreciate the disclosure you provided regarding our securities and losses that will be carried forward, not [inaudible]. Can you talk a little bit about the other things we need to think about as far as adjustments to our core, to think about re-tax from and other, some benefits of LIBOR floors. Can you maybe give us some – a little bit of color on how to think about where retaxable income – what is the consideration figure on that?
Bob Foley: Sure, it's a technical matter; a couple of things. First is, you know we intend to maintain our statuses of REIT to do so. We and other REITS need the dividend that, at least 90% of their taxable income. There aren't that many REITs, book-to-tax differences. One of them I would say most notably will be CECL and it was the general reserve associate with that. And you know apart from that, the differences between how loan fees for example are accounted for between book and tax that are not material, nor are they for interest income for that matter. So I'd say the real issue is the CECL reserve, the biggest reconciling item.
Stephen Laws: Okay, thanks for the color. I appreciate the time in ’20 and I hope you and all your families are doing well. Thank you.
Bob Foley: Thank you. Right back at you.
Greta Guggenheim: Thank you, Steve.
Operator: Steve Delaney of JMP Securities, please go ahead. Your line is open.
Steven Delaney: Good morning Greta and Bob, and I’m glad to hear your both well. Just a couple from me. In addition to the one delinquent loan that you cited Greta, can you comment if you have any other loans that you placed on non-accrual and have in more of a cost recovery mode than accruing interest. Thanks.
Greta Guggenheim: No, we do not have any.
Steven Delaney: Okay, and that process, can you just comment briefly on as you're looking at a loan and maybe it's using interest reserves, is there a point that you look at a loan and say, okay, we’re going to stop accruing interests on this one and just stop reducing our basis in the loan and maybe just what conditions would you look for to put a loan on non-accrual, because we’ve some non-accruals this quarter for the first time in this space and that’s why I’m asking.[Cross Talk]
Bob Foley: I’m sorry, go ahead.
Greta Guggenheim: Well, I’ll start and I’m sure you will be able to fill in some gaps that I will probably encap. But I think a key factor is, is it current in its debt service obligations, and presently we just have that one loan that we referenced. So to me that is a key factor and you know typically you would look for it to be delinquent you know beyond – you know probably up to 60, 90 days before we would start thinking about that and we do not have that situation. And Bob, please add to that.
Bob Foley: No, that's entirely accurate and we do clearly disclose in the Q what our policy is with respect to non-accrual, which is 90 days unless we otherwise have a firm conviction that interest accrued is collectible, even if it hasn't been paid for 90 days, which is a rare but not unheard of occurrence in the real estate business. But you know it’s a clearly defined cost and it’s one that we apply carefully.
Steven Delaney: That’s helpful. Thanks for clarifying that for me. And then switching to cash management now and in the world where securities are not going to be part of that, what should we think going forward? I know you commented repayments. You are not likely to be significant and you have some future fundings, but as you have – if you’re in a position where you have excess cash over a couple $100 million or $1 million or what have you, would you use that and pay down the revolver Term B loan or you think it will all go to specific loan financings to de-lever like you’ve done on your hotel loans and retail loans.
Greta Guggenheim: Well, I do think you know it’s been disclosed. We are in discussions with our repo counterparts parties to work out an arrangement with them. I mean we have no margin calls now, but we're in discussions to get a, you know sort of a longer term agreement for where they would forestall margining and we're having active discussions on that right now.You know presently we are not seeing interesting opportunities for deploying capital. You know I think the asset sales market has slowed dramatically and I think most lenders are hesitant to refinance properties, particularly if you know their cash flows have been affected, albeit you know temporarily while this pandemics going on, but nevertheless negatively affected by the pandemic. So we're not seeing a lot of opportunity, so we would at this moment you know hoard cash and pay down liabilities.
Steven Delaney: Great! And I guess for us with where I was going, I think hoarding cash is a great strategy right now Greta. I just was trying to get to the question of you were keeping control over that cash as opposed to is there a balance between you know putting the cash somewhere where you can get it back or I guess that depends on your discussions with the banks on a specific loan. But just trying to figure out how you view the different financings and which debt you choose to pay down is kind of where I was going on that.
Greta Guggenheim: Sure. Well, you know given the state of the world, we would probably pay down loans that are financing hotels first, because they are the most vulnerable.
Steven Delaney: Yes, understand.
Greta Guggenheim: But you know all things else being equal that's what we would do, and then otherwise we would look to pay the most expensive debts off first.
Steven Delaney: Makes sense, and just a final question. Stephen I think tried to get to this with his RTI question, but I'm just going to lay it out I guess directly and that is you know, as I’m representing your dividend currently in my comp table and talking to investors I'm staying, for now the dividend has been suspended and as we move forward here for the next few months or so, is that a proper way for me to reflect your view towards the dividend?
Greta Guggenheim: Are you referring to Q2 dividends or Q1?
Steven Delaney: Any. Well with Q1, Q1 you suspended debt.
Greta Guggenheim: Yes, so you know all I can say to that is that you know we – I would refer you back to our press release and we don't have any additional information or update on that at this time.
Steven Delaney: Got it. That's exactly what I needed to know. Thank you both and stay well.
Greta Guggenheim: Thank you.
Bob Foley: Thank you, Steve.
Operator: Arren Cyganovich, Citi. Please go ahead. Your line is open.
Arren Cyganovich: Thanks Bob. You mentioned in your prepared remarks that you don't – we do not believe that the CECL allowance currently reflects the likely credit performance. I’m assuming that means you believe that it's over reserved for potential credit losses?
Bob Foley: What I believe is that that statement was intended a different way and perhaps it was unclear as that A) CECL is a general reserve; B) its licensed alone and C) the impact of the new macroeconomic assumptions that we and others employ in connection with such corporate reserves is severe, and so the impact over the life of the loan may or may not be the same as what the CECL reserve suggest today depending upon many things; I'd say most importantly, you know for how long do the after effects of COVID-19 persist. Does that answer your question?
Arren Cyganovich: Yeah. I mean I imagine it's very specific and you have you know various properties that are already struggling. I think what is it that kind of stood out to me is you have two of the – it seems like the biggest problem or challenge right now are multi-family and offices. It's not even the hotel and retail, which we've been focusing on from that risk perspective. You know it's I guess a little bit surprising to the extent that you're having issues there at this point, but that’s both Houston and multi-family in this kind of environment [inaudible].The borrower modification is bad. I think Greta had mentioned 13% modifications thus far and we’re coming with equity, which would be nice. What works for like the underlying assets predominately within this 13%?
Greta Guggenheim: I'll take that Bob. So the 13% as far as who have requested modifications and that is primarily our hotel borrowers and our one $30 million retail loan and the modifications are really very bespoke and can until something as simple as allowing the bar to access cash in an FF&E reserve for uses other than FF&E such as you know paying debt service, in other cases it could be relaxing and extension conditions.If you have a debt yield task based on trailing 12 NOI and you know you're not going to have much NOI related to the COVID crisis, so there each one is very different. But I can say, in all cases you know the bar is committing additional capital and in most of the cases it's very significant capital.
Arren Cyganovich: Okay, and then just following-up on the deed in lieu, it’s just the process itself on that your too familiar with. Maybe you could just talk a little bit about you know how that works in a typical and maybe there's not a suggestion of what it typically means for deed in lieu foreclosure. I just don't understand what's the benefit for you to negotiate this kind of transaction versus just to foreclose on the property.
Greta Guggenheim: I'm going to ask Deborah Ginsberg, our General Counsel to address this. She will be much more legally precise than I will.
Deborah Ginsberg: Sure. And so this sponsor has ongoing carry obligations for the property and I think that their idea is they would like to tender it to cut off their underlying carry obligations. As you know a foreclosure in New York could take, you know call two years under the current circumstances, so you know – but in order for them to tender and cut off those obligations, there are significant concessions that they would have to make towards us. So that's kind of the process that we're starting now. We expect it to take several weeks, possibly to months, I’m unclear on the resolution, but it is for it to be less than two years to actually foreclose.
Arren Cyganovich: So it would be essentially then giving you the keys, but also giving some cash along with that, that's kind of the way that you would expect it to play.
Deborah Ginsberg: I would more express it as making sure it's complete in tying up our obligations of the property, so yes. That is probably the ultimate end result.
Arren Cyganovich: And then, I suppose just touching on the new capital sources that you're looking into, do you have any idea of what kind of form you know that you expect that to come from. We’re seeing you know other firms do you know various types of new capital coming from their sponsor converge, etcetera. Have you thought about what form that might come in?
Greta Guggenheim: Look, all I can report on that is what we've said publicly and that we have hired Houlihan Lokey to help us source capital. I know there's been a lot of reports in the press from others, not us. A lot of that may be misleading, but I can say that you know we hired them to consider all sources of capital and you know that's what we're doing.
Arren Cyganovich: Okay, thank you.
Operator: Thank you. [Operator Instructions] Rick Shane from JP Morgan. Please go ahead, your line is open.
Rick Shane: Guys, thanks for taking my questions this morning and I hope everybody's well. Regarding the deed in lieu transaction, I am curious. That was a property in 2018. So they've been in there for two years. It is 52% LTV you know exception. This really sounds to me given the way you described the sponsor like a strategic default, as opposed to them not having the dry powder to see the project through.I'm curious if you can provide us some additional characteristics of the property given that they are two years into the transitional. Is this a property that's generating rent and what would it look like on the TRTX balance sheet as of REO [ph] in terms of income, and could you – would your idea be to hold it or to try to dispose of the property.
Greta Guggenheim: You know, we're very diligently evaluating all our options. What we like about the property is its location in Brooklyn. The sponsor, it was originally a warehouse project in that part of Brooklyn and the sponsorship bought it to convert it to creative office, and you know I think there wasn't a tremendous amount of demand for that. So we're looking at really all options to maximize value for the property.You know the sponsor has significant equity, you know 43% of equity at this point of cash equity invested. They’ve continuously contributed to the property since it's closed and we're in active discussions and diligent – it’s just really premature to say, you know to come to any conclusions on this property at this time.
Rick Shane: Got it. One follow up on that and then one other follow-up. Related to that property was the idea that this was going to be a co-work space. Is that one of the things that’s changed?
Greta Guggenheim: No, that was not a primary driver of that. I mean, is it possible they considered a co-working tenant at some point, possible, but I don't have that knowledge.
Rick Shane: Okay, great.
Greta Guggenheim: That was not the primary driver.
Rick Shane: Great, thanks Greta. And then as you enter renegotiations or extensions on the existing debt facilities, one of the benefits to enjoy over the next 12 to 24 month is you have substantial floors in place on your assets and you guys provide a good chart in terms of how that impacts NII. I am curious if you think that there will be terms associated with the extension of the secured facility that dampen that, either floors on your borrowing or higher spreads on base rates in order to offset where the banks are in terms of low base rates right now.
Greta Guggenheim: Well, for our existing facilities, nothing material has changed. The arrangements pre-COVID still exists in most all cases. Do I expect to see floors in some type of bespoke financing? Yes, I think that's quite possible. I think we've seen it with a couple of competitors whose recently refinanced and you know outside of the banks. I don't know if that’s answering your question.
Rick Shane: I'm specifically wondering, as you site the $432 million drawn on facilities and the extension of those facilities, if you think you'll see some efforts on behalf of those two banks to offset the low rate environment, either through higher floors or wider spreads.
Greta Guggenheim: It’s to be seen. I think there could be wider spreads for new borrowings. For additional borrowings, but under the existing facilities, I believe they will honor the terms of those facilities.
Rick Shane: Okay.
Greta Guggenheim: And Bob, I don’t know if you have any further color on that.
Bob Foley: No, I think that's accurately stated. I think that we’ve been, we are always in constant contact with our lenders and that predates the COVID crisis. We are clearly engaged in negotiating as Greta mentioned in connection with these voluntary deleveraging arrangements.With specific regard to extensions, generally speaking lenders on extensions hold firm to previous pricing for existing borrowings, existing pledge to assets. Clearly the financing markets have changed and so for new borrowings there could or could not be adjustments to pricing. I think that will depend on market circumstances and the facts at the time that those deals are extended, which we expect to be between now and their next maturity dates, which are in August and September of this year.
Rick Shane: Okay. Thank you, guys.
Bob Foley: As we mentioned, you know we have substantial towards and good weighted average spreads on our loan. So there is a strong basis from which to negotiate. Thanks Rick.I would like to revert to one point that Steven DeLaney made earlier. With respect to our first quarter dividend and I can’t comment Steve on your firms sort of nomenclature, but the first quarter dividend was differed. The company hasn't announced any suspension have been stated yet.
Greta Guggenheim: That is correct. Pursuant to the press release, yes that is the word, yes.
Bob Foley: Alright, thank you.
Operator: Thank you. And as there are no further questions in the queue, I would like to turn the call back over to Greta Guggenheim, CEO for any additional or closing remarks. Over to you madam.
Greta Guggenheim: Well, thank you all for calling in this morning and great to hear your voices again and that you all are well and healthy, and we look forward to speaking to you next quarter.
Operator: Thank you. That does conclude today's conference call. Thank you for your participation. You may now disconnect.